Operator: Good day, and welcome to the Steve Madden Fourth Quarter 2015 Earnings Conference Call. Today's call is being recorded. And at this time, I'd like to turn it over to Megan Crudele of ICR. Please go ahead.
Megan Crudele - Investor Relations Officer, ICR LLC: Thank you. Good morning, everyone. Thank you for joining us today for the discussion of Steve Madden's fourth quarter 2015 earnings results. Before we begin, I would like to remind you that statements made on this conference call that are not statements of historical facts constitute forward-looking statements under the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve risks and uncertainties and other unknown factors that could cause actual results of the company to differ materially from historical facts or any future results expressed or implied by forward-looking statements. These statements contained herein are also subject to other risks and uncertainties as described from time to time in the company's reports and registration statements filed with the SEC. Also, please refer to the earnings release for information on the factors that could cause actual results to differ. Finally, please note that any forward-looking statements used on today's call cannot be relied upon as current after this date. I would now like to turn the call over to Ed Rosenfeld, Chairman and CEO of Steve Madden.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Megan. Good morning, everyone, and thank you for joining us to review Steve Madden's fourth quarter and fiscal year 2015 results. With me to discuss the business is Derek Browe, the company's Director of Finance and Investor Relations. We delivered solid financial performance in 2015, bouncing back after a tough 2014, successfully capitalized on some new fashion footwear trends, recorded strong growth in both sales and earnings in our retail and e-commerce business, made significant progress in building our newly-acquired Dolce Vita and Blondo brands, and further expanded our international presence. As expected, our earnings performance improved as the year progressed, and we finished 2015 with both net sales and EPS up about 5% for the year. The year ended on a good note in the fourth quarter despite an overall tough retail environment. We delivered EPS growth of 27% in Q4 on the strength of margin improvement in both wholesale and retail. We achieved this growth during one of the warmest seasons on record, which pressured seasonal products like boots and cold weather accessories and contributed to a heavily promotional retail environment. Before I turn the call over to Derek to walk you through the financials, let me spend a few minutes recapping the year in a little more detail. First, Steve and his design team did a great job in 2015 of creating fashion forward products that resonate with our consumers. Our dress and fashion sneaker offerings were particularly outstanding. The on-trend merchandise assortment led to a dramatic improvement in our retail segment performance. Retail comparable store sales were up 11.1% for the year and operating margin for our retail business expanded 260 basis points. We remain pleased with the momentum in our retail business and expect continued improvement in 2016 as we work toward our goal of a 10% operating margin in this segment. While the strong product assortment also resulted in improved sell-through performance in the wholesale channel, our overall wholesale footwear financial results were negatively impacted by a number of factors during the year, including the lingering effects of a challenging 2014, the West Coast port slowdown in the first half, and the extremely unfavorable weather in the back half. As we entered 2016, we have better momentum with our key wholesale partners than we did a year ago and are confident that we can show sales and earnings improvement versus 2015 in this segment. That being said, the overall tone among most of our largest wholesale customers is one of caution. We are planning our business accordingly. Within the wholesale footwear segment, the biggest highlight in 2015 was the progress we made with our newest brand acquisitions. In Dolce Vita, our strategy of focusing our efforts on the flagship Dolce Vita brand paid dividends. Dolce Vita was a clear outperformer at retail in tough fall season. And as we head into 2016, the brand's positioning with both retailers and consumers is stronger than it's ever been. We also executed on a number of operational initiatives, and the result was a business that went from losing money in 2014 to a 7% operating margin in 2015. For spring 2016, we have relaunched the diffusion brand, DV, as exclusive brand to Target in footwear and handbags. And for fall 2017, we are launching Dolce Vita apparel under licensing agreement with Amerex Group. Overall, we couldn't be happier with the direction we're headed in Dolce Vita. We are also really pleased with what we're seeing in Blondo, the waterproof boot brand we acquired in early 2015. Blondo sales in the U.S. were up approximately 50% in our first year of ownership of the brand. Overall, sell-through performance was good, particularly in light of the unfavorable weather, and we expect another year of strong growth in 2016. Turning to wholesale accessories, we had a solid year in 2015 with net sales up approximately 5% compared to 2014. Our handbag business performed well; both branded and private label had strong gains for the year. But we did see pressure on this business in Q4, which we expect to continue into Q1 2016 due to overall weakness in the handbag market and excess inventory in the channel. Our cold weather accessories business was, of course, challenged in 2015 by the historically warm weather in the back half, and we see opportunity for improvement in that division in 2016. Overall, we're expecting our wholesale accessories business to be approximately flat in 2016 compared to last year. Finally, we continue to make significant progress on our most important long-term growth initiative, which is growing our business internationally. Overall international sales were up 33% in 2015. Our net sales to international distributors were up 23% compared to the prior year with particularly strong gains in Asia and the Middle East. In our SM Mexico, which we acquired in late December 2014, had an outstanding first year under our ownership with retail comps in excess of 20% and wholesale sales up over 50% in local currency. In sum, we had a good year in 2015, stabilizing our core business after a challenging 2014 and taking significant steps forward on our key initiatives. We entered 2016 with positive momentum. Our brands are outperforming the competition and we are confident in the strength of our current product assortments. That said, we are cognizant that many of our wholesale customers are taking a cautious approach to initial orders in the wake of a tough fall season. And therefore, we are planning our business conservatively in the near term. As we look out farther, however, we remain as optimistic as ever about our company's long-term growth prospects, given the underlying strength of our brands and our business model, as well as the significant opportunities we have available to us. With that, I'll turn the call over to Derek to review our financial performance in more detail and provide our outlook for 2016.
Derek Browe - Director of Finance and Investor Relations: Thanks, Ed, and good morning, everyone. Turning to our financial results for the fourth quarter, consolidated net sales grew 0.5% to $344.3 million compared to prior year net sales of $342.6 million. During the quarter, sales growth in both our wholesale footwear and retail businesses was mostly offset by a decline in our wholesale accessory business. Our wholesale net sales in the quarter decreased 1.8% to $265 million. Wholesale footwear net sales increased 3.3% to $202.4 million. Excluding sales from acquisitions, the wholesale footwear segment was down 2.4%. Overall, the boot category was soft, particularly tall-shaft boots, though we did have strong success with over-the-knee boots and some of our ankle booties. Additionally, our dress and sneaker offerings were strong during the quarter, as they have been throughout 2015. In wholesale accessories, net sales declined 15.2% to $62.6 million in Q4 compared to $73.8 million in the prior-year period. The decline was partially driven by the unseasonably warm weather, which had a strong negative impact on our cold weather accessories business. The decline was also attributable to a shift of handbag sales from Q4 into Q3 and lower sales from our off-price channel. In our retail division, net sales increased 8.9% to $79.3 million. Our comps were once again strong at 6.1%, an impressive result given we had a comp decline in the boot and bootie category, which accounts for more than half of our retail mix in the fourth quarter. During the quarter, we opened one full-price store in Mexico and three outlet locations in the U.S. We ended the quarter with 169 company-operated retail stores, including 40 outlets and four e-commerce stores. Turning to other income, our commission and licensing income net of expenses was $3 million in the quarter versus $2.3 million in last year's fourth quarter. Despite the headwinds from a very promotional environment, we increased our consolidated gross margin by 180 basis points to 36.1% compared to 34.3% in the prior year, with increases in both wholesale and retail. Wholesale gross margin increased to 28.2% from 26.9% last year due to improvements in both the wholesale footwear and accessories segments. Gross margins in the retail division increased to 62.3% compared to 61.6%, as strong product performance resulted in higher full-price selling and lower promotional activity as compared to the prior year. Operating expenses for the quarter were $88.5 million or 25.7% of net sales, which was consistent with the same period last year when operating expenses were at $87.8 million or 25.6% of net sales. Operating income for the quarter totaled $38.7 million or 11.2% of net sales compared to last year's fourth quarter operating income of $32 million, or 9.3% of net sales. Our effective tax rate for the quarter was 34.1% compared to 35% in the same period last year and net income for the quarter was $25.7 million or $0.43 per share diluted compared to $21 million or $0.34 per share diluted in the fourth quarter of 2014. Now, I'd like to briefly touch on full-year results. Consolidated net sales for the year increased 5.3% to $1.4 billion, compared to $1.3 billion in 2014. Operating income for the year totaled $171.7 million or 12.2% of net sales, compared to 2014 operating income of $167.6 million or 12.6% of net sales. Operating income for 2015 included a net benefit of $3 million related to an early release termination of our Fifth Avenue store location, as well as a $3 million loss related to the partial impairment of our Wild Pair trademark, both in the first quarter of this year. Our net income for 2015 was $112.9 million or $1.85 per diluted share. This compared to net income of $111.9 million or $1.76 per diluted share in 2014. Our balance sheet remained strong. As of December 31, 2015, we had $193.3 million of cash and marketable securities and no debt. Inventory increased 10.1% to $102.1 million compared to $92.7 million in the prior year. Our consolidated inventory turns for the last 12 months ended December 31 was 8.7 times, and our CapEx in the quarter was $5.9 million bringing our full year CapEx to $19.4 million. During the quarter, we repurchased approximately 1 million shares for approximately $31 million. And for the full year, we repurchased over 3.7 million shares for approximately $136 million. Now, turning to guidance. For fiscal year 2016, we expect that net sales will increase 2% to 4% over net sales in 2015. Diluted EPS for fiscal year 2016 is expected to be in the range of $1.93 to $2.03. Now, I'd like to turn it over to the operator for questions.
Operator: Thank you. We'll take our first from Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Inc.: Thanks. Good morning, guys. How are you?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Good morning, Camilo.
Camilo R. Lyon - Canaccord Genuity, Inc.: If we could just start off, Ed, and just – could you talk about how the different channels are performing with regard to your wholesale footwear business? Where are there incremental pockets of weakness or caution as you're seeing the first of the year start to flow through? And if we think about the good product that you're bringing to market compared to the overall cautionary stance by your wholesale partners, where is there an opportunity for kind of a re-order scenario to occur should demand trends normalize after we get out of this kind of lingering Q4, holiday, cold weather scenario?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Sure. Well, in terms of the first part of your question, which was about the difference in performance by channel, I actually think that we're not seeing as much variation by channel currently. So, whereas that was something that we were calling out for a good chunk of 2015. Right now, I don't think we're seeing a big difference between what we're seeing – seen in, say, department stores off-price or as private label accounts, et cetera. I think that what we're seeing is that, overall, on the whole, wholesale customers across the spectrum are pretty cautious. A lot of holiday, fall holiday sales overall were not great. A lot of folks missed their sales plan; a lot of folks had elevated inventory levels and they've moved to try to get those in line and they've also turned a little bit more cautious with their order patterns going forward. The good news is, for us, that we believe we've been an outperformer with the vast majority of our big wholesale customers in terms of sell-through. We clearly have momentum with the brand and with our product, which you can see with our own retail comps. And so, we believe that we're going to do better than our peers, and that, in fact, our big wholesale customers are planning our business better than our peers. But clearly, it's overall a cautious environment. I think the second part of your question was where are there – where is there ability to – for upside here, is that right?
Camilo R. Lyon - Canaccord Genuity, Inc.: Yeah. It just seems – well, just going to the top-line guidance of 2% to 4%, it just seems that we strip out some of the acquisition benefit that you're kind of looking for kind of flattish to maybe up 1%-or-so growth in the front half, and it seems like that's sort of running through the year. First is, is that a correct read? And second, it sounds like – it looks like you're taking the conservatism that's being placed in your Q1 business and running that through. Is that in fact what you're doing and really not anticipating any material improvement in the business?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I mean, first of all, I want to just clarify. I know you understand this Camilo, but just for everybody listening that we have anniversaried all of the acquisitions. So, there isn't any inorganic growth here. I think what you are referring to is that some of the more recent acquisitions have the potential for stronger growth in the near term, but it is. It's not growth through acquisition per se, I guess. I want to just clarify that. Yeah. I mean, we have – the guidance does assume that there – it does not assume I should say any dramatic improvement in the overall environment. If inventories get cleaner, and the wholesale customers see good sell-throughs and start to get more aggressive with order patterns, that would certainly be an opportunity for upside, and I think we'd be very well positioned to benefit from that and to chase into that demand should it develop.
Camilo R. Lyon - Canaccord Genuity, Inc.: And still on that topic of inventory, it's come down from last quarter, still a little bit elevated, I think probably more than you'd like it to be. Can you just talk about the composition of that inventory? And if there were an increase in demand when would we likely be – when would we see that materialize? It's probably not in Q1, but when would that – when could there be a matching of inventory that you have on hand versus incremental demand from your wholesale partners?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: You're asking about our inventory on our balance sheet not in the channel, correct?
Camilo R. Lyon - Canaccord Genuity, Inc.: Correct.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I feel actually pretty good about the inventory level for us. If you strip out the acquired businesses, SM Mexico and Blondo, we're up by 5% at year-end. And I think, more importantly, I feel good about the composition of inventory and the inventory content there. In fact, I think particularly in our retail segment, the composition of that inventory is a little bit healthier than it was a year ago. So, I think you'll continue to see inventory levels converge towards sales. That's something that's been happening recently. Keep in mind I don't think they should be exactly in line with sales growth on a consolidated basis because our retail business is growing faster than our wholesale. And as you know, our wholesale business turns three to four times faster than our retail business. So, on a consolidated basis, when retail is growing faster, you're always going to see inventory growing faster than sales.
Camilo R. Lyon - Canaccord Genuity, Inc.: Okay. And then just the last one I had on – you mentioned the strength in retail despite some of the cautionary stance at the wholesale channel. You've had really good comps pretty much throughout the year. You're coming up against some very difficult comparisons in 2016. Is there any – can you help us understand how we should think about some of the progression around your retail comps given the incremental product you're bringing to market that's been received well and some of the positive trends that you're seeing in the business today?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. So, we do. We are going up against double-digit comps for each of the next few quarters. But I don't continue to feel good about the momentum that we have in our retail business. And I think that we do have an opportunity to comp positively against the double-digit comps. We have cautioned people that, clearly, Q2 in particular is a very tough comparison. We're up 18.5% comp in last year's 2Q. But, overall, we continue to feel good about what we're seeing in our retail business.
Camilo R. Lyon - Canaccord Genuity, Inc.: Well, thanks a lot, Ed. I'll jump back in the queue. Good luck.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Camilo.
Operator: We'll take our next question from Erinn Murphy with Piper Jaffray.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Great. Thanks. Good morning. I guess, just circling back on one of Camilo's question just at on the sales guidance for the year of 2% to 4% decelerating from the 5% last year. I mean, is that just more of a nod to the overall environment decelerating? Or is there something else fundamentally that we should be aware of just that step function change? I just – I guess I would've thought that the organic growth would've come back a little bit stronger and I know there's some caution around kind of replenishment or just stuff that's not fully in there. But just any help you can give us on just the magnitude of the deceleration would be very helpful?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I mean, I don't – I guess, I would just – I wouldn't characterize it as deceleration because, in fact, if you strip out acquisitions, we were actually down, I think it was 0.5% last year. So, we are expecting an improvement from that to the 2% to 4% because there is no acquisition growth again in 2016. As to why it's not faster than that, yeah, I think that's really a function of the overall environment. But we're still over 80% wholesale, and most of our wholesale customers are quite cautious right now. The other thing is we did call out some near-term headwinds in the hand bag category and so we're looking at our wholesale accessories business to be about flat this year. And then, I guess the last thing I would touch on is that we do have some negative FX impact in our international businesses, particularly Canada and Mexico, which have created a little bit of a drag.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay. That's helpful. And, I guess, if you were to then think about now that the acquisition – I guess, acquisition growth is now organic and in the base – could you just maybe (22:45) for us how you're thinking about the biggest drivers of growth within like the DV, Blondo, and I guess SM Mexico as well as we go into 2016? Where are you expecting to see the most growth out of, I guess, newly-acquired businesses?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I think that you had them in the right order. I would say Dolce Vita is first.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Blondo would be second, and SM Mexico would be third. Part of that is the function of the size of those businesses though. Dolce Vita is just a significantly bigger business than the other two. On a percentage basis, we're going to see quite – we expect to see quite strong growth in Blondo. And in SM Mexico, again, on a constant currency basis, we're looking for strong growth. But, unfortunately at this moment, when we translate that back to U.S. dollars, that FX impact is chewing up a lot of that growth.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay. Got it. And then, I guess, in terms of some of the newness that you're seeing in footwear and now that we're cycled through kind of the winter season, can you just talk about what you're seeing in terms of dress, sneakers or any other categories that are really standing out to you guys right now?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. Clearly, fashion sneakers is a category that we're just really excited about. What we're seeing there really exceeded our expectations, and we've really just developed a really strong presence in that category. We went from having one real Hall of Fame style to now having a full collection in the category, and with high tops, low tops, flip-ons, lace-ups, all performing. And I think that, particularly, if you look at really fashion footwear players at our price point, we've really developed a market leadership position in this category. So, we're really excited about that. Dress shoes, you mentioned, and you hit the nail on the head there, because that's also been a really strong category for us, particularly, the opened up dress shoes, the dress sandals, we're really excited about, particularly some of the things that we're doing out of Brazil. We're having an opportunity to do more products out of Brazil because of the strength of the U.S. dollar against the real. And we think we've got some great product coming out of there with a real strong price value proposition, and the customer is really responding to it. So, those are a couple of categories that we're probably the most excited about. I guess I'd also call out heavy heels as something that's really important right now. Anything with the leg wrap continues to do well. So, we've got a good amount of trends to sink our teeth into which we're pleased about.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay. And then, I guess, just longer-term, I mean, you guys have talked about an operating margin in the mid-teens. How comfortable are you with that target at this point and kind of how are you thinking about the path or the timeframe to get there? Thanks.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I think that there is – we continue to think that that's the right long-term target. I don't think there's anything structurally that's going to lead us to believe that we can't get there. However, we're looking this year to be essentially flat, the guidance implies essentially flat op margins. And so, I think that we have to – it's going to be a couple of years before we can get to that mid-teen target.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Got it. And then, sorry. Just one more clarification. The buyback is not included in your EPS guidance for the year, is that correct?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Correct.
Erinn E. Murphy - Piper Jaffray & Co (Broker): Okay. Thank you, guys.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Erinn.
Operator: We'll take our next question from Jay Sole with Morgan Stanley.
Jay Sole - Morgan Stanley & Co. LLC: Hi. Good morning.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Good morning, Jay.
Jay Sole - Morgan Stanley & Co. LLC: Just wondering if we can dig into the guidance a little bit. Just on gross margin and SG&A, how are you thinking about those two line items; and then as well as the cadence for earnings growth as we go through the four quarters of the year?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Sure. Yeah, so I mentioned the flat op margin. I think that we think there's some opportunity for modest gross margin improvement. But at this sales growth rate, we would give a little bit of that back in terms of higher SG&A as a percentage of sales, and that's how we get to the flat operating margin for the year. In terms of the earnings throughout the year with a quarterly breakdown, I don't think there's a heck of a lot to call out in terms of seasonality that's different from what you've seen previously other than that in some respect, I think Q1 is our toughest quarter at least in comparison to the prior year. I think that we're looking for little to no EPS growth in Q1, and the reason for that in addition to just what we've already laid out, which is wholesale customers taking a cautious approach coming off this tough fall holiday season. But, in Q1, it's really where we're seeing the pressure on the handbag business. And we've seen, particularly in the off-price channel, we've seen a pullback in that handbag category. We felt that in Q4. We're feeling that again in Q1 as those off-price retailers have elected to, or because there's so much excess inventory out there, they've elected to buy close-outs as opposed to upfront buys from us. So, that's creating some pressure on Q1. The good news is that we see that coming back for Q2 and our order file supports that. So I think that pressure will ease as we go forward, but that's definitely a little bit of a headwind in Q1.
Jay Sole - Morgan Stanley & Co. LLC: Okay. Got it. And then if I can just ask one fashion question. Can you touch on men's? How is that business been developing? What's your expectation for the year in men's?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. So, men's was another business that came under pressure in Q4. And as business slowed down, as boots did not perform well and we saw retailers start to pull back because they were seeing their inventories get a little out of whack, we actually felt that pretty acutely in men's even more so than in women's in Q4. So, we had a decline in the men's business in Q4. We're still – again, that's another one that we've got some pressure on Q1 as retailers continue to try to get their inventory in line. But again, here, we see this business picking back up for Q2 based on the order file that we have in hand and the conversations that we had with our retailers at the PLATFORM Show in Las Vegas last week. So that business, again, a little bit of pressure in Q1, but we see that coming back in for Q2. And you asked about the fashion. The thing that's helping us, I think, in Q2 and going forward is that the dress category, specifically the fashion dress category is coming back. And that's a category that we have a very nice position in.
Jay Sole - Morgan Stanley & Co. LLC: Okay. Got it. Thanks so much.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Jay.
Operator: We'll take our next question from Corinna Van der Ghinst with Citi.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Hi. Good morning, Ed, Derek. Could you maybe talk about or give us a sense of percentage-wise maybe of how much of your second tier business is moving towards an in-line model as opposed to purchasing SMUs upfront? And are you concerned about the change in visibility that that creates and just in terms of potential cannibalization from your more traditional in-line wholesale accounts like Macy's?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: No. We're definitely not concerned about it. In fact, I think that it's a positive development for some of these retailers to do more of that business and really have the most fashion forward product that we have. And it's also helping them to raise their AURs to some degree. In terms of a percentage, it's still a relatively small percentage of that overall pie that you're talking about. I don't have the number, but it's a small percentage, still.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Okay. Great. And then, I was wondering how e-commerce performed versus your expectations this quarter? Did you guys see a greater shift within your direct-to-consumer channel this holiday? And can you maybe talk about some of the initiatives that you have on the docket this year as you lap the replatforming from last year?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah, e-commerce did outperform bricks-and-mortar for us in Q4 as it did for most. We were up about 13% comp in our e-comm business. That does not include the growth which was much stronger than that in Canada because we launched the new stevemadden.ca last year. But that will come into the comp, I believe, in Q2 of this year. But we're continuing to see real strong performance out of our e-commerce business. We're very pleased with what we're seeing from that channel, and there's a lot of things we continue to work on just to strengthen it. As you know, we're still in the process of bringing some of our brands on to the new platform, and the next one is going to be Dolce Vita, which we hope to get up on our new platform sometime in June-July.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Okay. Great. And then just lastly kind of a bigger picture question on supply chain. You guys have clearly had a competitive advantage in terms of your speed-to-market. Just as the broader industry also kind of shifts from initial open-to-buys to more at-once orders, are you guys seeing more of your competitors move to a faster model or model that's closer to home? Or can you give us your thoughts on where you guys stand versus the competition?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah, I think that everybody's trying to get faster, and that just creates pressure on us to continue to try to get faster as well. At this moment, I still think we have a speed-to-market advantage over our key competitors and it's going to be a strategic imperative for us to continue with that.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc. (Broker): Great. Thank you.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Cory.
Operator: We'll take our next question from Taposh Bari with Goldman Sachs.
Taposh Bari - Goldman Sachs & Co.: Hey, guys. Good morning. Ed, question for you. So, a lot of your retailers are struggling, has been an ongoing theme for a while, not sure when it ends. But, I guess, the question for you is do you feel like your fate is dependent on their success at a high level? Maybe ask this a different way: you have things like acquisitions, international DTC opportunities, I'm curious to see if those are areas that you are looking to accelerate in light of the environment that you are managing through in the U.S.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I think that that's a – it's a good point you're raising. And certainly, we do have to look for some alternative places to grow when some of our key wholesale customers are not showing a lot of growth. So, international is clearly a big priority here. You saw the strong performance we had in 2015 and we're very focused on continuing to grow that business. You are seeing us grow our direct-to-consumer business faster than the wholesale business. We're adding particularly new stores on the outlet side as well as growing our e-commerce business and, in fact, the growth from the new brands. So, all that is important. That being said, the U.S. wholesale footwear, in particular, market is still very, very important to us. And we need to find out how to grow there. And we're working pretty hard with our wholesale partners to do that. We're also looking at some of the channels that are showing faster growth. So, whether that's some of the pure play e-commerce guys or some of the off-price retailers, we're looking at ways to grow with them.
Taposh Bari - Goldman Sachs & Co.: Great. And then just a quick follow-up on the category, call it, fashion footwear for teen, women, that you obviously are concentrated in. About a year ago, it feels like that's when your tone improved for the first time in a while. Do you feel like – are you still feeling equally as optimistic on the fashion cycle for the product that you are operating in? And if not, what's changed?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: I do. I feel quite good about where we are in the fashion cycle and the opportunities that we have available to us in terms of fashion trends to capitalize on. So that part I'm not worried about.
Taposh Bari - Goldman Sachs & Co.: Okay. Thanks, guys.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thank you.
Operator: And we'll take our next question from Jessica Schmidt with KeyBanc Capital Markets.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: Hi. Thanks for taking my question. I guess, just given some of the heavier inventories in the channel, can you talk about what you are seeing in terms of pre-buys with the off-price channel? I know you mentioned fewer upfront orders in handbags, but what are you seeing in footwear?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. I think that if you look at at least our numbers compared to last year, it looks a little bit better in footwear. But keep in mind, we had a pullback in 2015 for that very reason that some of the off-pricers were electing to buy fewer upfront goods, and focusing more on closeouts. So I think that business has now stabilized and we can grow off that slightly smaller base. But we have not really – I just also want to say we haven't seen the pendulum swing back either to where it was pre-2015. So we're looking for a kind of modest growth in that channel in footwear and, again, some pressure in that channel in handbags.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: Great. Thanks. And just quickly on the handbag market, so it seems like that's gotten more challenging. You mentioned excess inventory. I guess, where are you seeing this? And just given some of the changes you've made in 2014 to your offering, how are you positioned if the environment does get more promotional?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Well, in terms of where we're seeing the promotions, I mean, I think that's pretty widespread across the spectrum. It was particularly in holiday a pretty promotional category. In terms of what we're doing from a product perspective, I still feel that we're on the right track. And, as I said, despite the sort of near-term headwind in Q1, we do see that with this business starting to rebound in Q2 and I think that we'll be back on a better path as we move into the back half.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: And then just quickly, are you seeing any performance differences by region? I know that you had talked about some tourist-impacted areas a while ago. I was wondering if you were seeing anything in maybe some oil-impacted regions and if any of the tourist markets have seen some improvement?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. In terms of the regions that would be impacted by oil, we just don't have a very heavy exposure there. We have seen some impacted traffic in sales. But it's not a needle-mover for our overall retail business or our overall consolidated results. The one thing that we've called out that we continue to see is this weakness in New York City, which we attribute to the tourism impact. Again, in Q4, while we had a 6% consolidated comp, we had a down comp in New York City. And I think that we're still seeing pressure there. I think that, hopefully, we're going to start to lap this in a couple of months and be able to start to see some positive comps there again, but we're not there yet.
Jessica L. Schmidt - KeyBanc Capital Markets, Inc.: Thanks. I'll pass it along.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thank you.
Operator: We'll take our next question from Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen - B. Riley & Co.: Good morning. And I'd just like to have a follow-up on the retail segment. Maybe you could just touch a little more on the performance of your outlet stores versus full-price? And then maybe also how your newest outlet units are performing versus your plan? And then I know you also mentioned the – I think there was a closure of one New York store, maybe just if you can touch on that.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Sure. The outlets are performing well. We're pleased with what we're seeing there. They were actually stronger than the full-price stores in fourth quarter. For the full year, outlets were up about 13.3% and full-price stores were up 10.5%. So, both quite strong, but a little bit stronger in outlet. And we're also pleased with what we're seeing in the profitability there. The four-wall operating margins are a touch higher now in outlets than they are in full-price stores. In terms of the new stores, we're also on track in terms of productivity of the new stores. So we're pleased with what we're seeing there. And you'll see us open another, say, 10 to 12 outlets again in 2016. In terms of the store closure, I think you might be referring to in first quarter of last year; we closed our 5th Avenue location. I can't think of anything else in New York that closed since then.
Jeff Van Sinderen - B. Riley & Co.: Okay. Got it. Yeah, that's what I was thinking of. Thanks. And then as far as international, just maybe any more color you can give us on where you are most confident that you can grow this year, what sort of progress we should look for, maybe by country there this year?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. Well, overall, again, international remains a real important growth opportunity for us. I think that I still view the Middle East as a really important growth region for us. And I think we should see some nice growth there in 2016. We've got very strong partner in the UAE as well as in Saudi Arabia as well as in Israel. So we're excited about that. And I'm also – we're working on some things in Europe, which, hopefully, we'll be able to talk about on the next call, which should fuel some growth in that region as well.
Jeff Van Sinderen - B. Riley & Co.: Okay. And then finally, is there anything in terms of opportunities you might have this year for sourcing, supply chain, anything that's shifting there that could potentially help you?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: I think the biggest thing is, is what I mentioned earlier, which is being able to – because of the strength of the U.S. dollar, we're able to work more in terms of – in some other regions that we haven't been able to as much of late. So we're doing a lot more sourcing out of Brazil. That's probably the most important. But we're also doing more sourcing out of Italy. And we think that we're able to get product with – that just really has a real value to the consumer out of those countries, and it's a product that just frankly wasn't affordable for our price point a few years ago. So, that's probably the most significant thing. Obviously, there's been the revaluation in China as well, and we are capturing some benefit from that. Some of that we're putting back into the product to try to increase the value proposition there, and some of it we'll capture in gross margin and, of course, some of it we'll have to share with our wholesale customers.
Jeff Van Sinderen - B. Riley & Co.: Got it. Okay. Thanks very much and good luck for the rest of the quarter.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Jeff.
Operator: We'll take our next question from Sam Poser with Sterne Agee.
Sam Poser - Sterne Agee CRT: Good morning. Thank you for taking my call. Ed, just real quick, what share count should we use for the full year?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Given that we don't have any buybacks in the guidance, it should be pretty similar to where it was in 2015.
Sam Poser - Sterne Agee CRT: So about 61 million?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah, that's a round number.
Sam Poser - Sterne Agee CRT: Okay. And then, when you look at the same-store sales for the year ahead – I mean, you had some really good numbers. I mean, should we be thinking about low single-digits with Q2 being in the flat range? Is that a good way to think about it? Or do you think you'd do a little better than that?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: We don't – we really don't provide comp guidance, so I'll leave that to you to build your model there.
Sam Poser - Sterne Agee CRT: You can always change what you do.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: I appreciate. I appreciate the offer.
Sam Poser - Sterne Agee CRT: When we looked at, like, Macy's and Dillard's just came out with their numbers the other day, and their inventories look like they were pretty much in line with sales. Are they beginning to get clean? The guidance that you are providing, was that guidance basically as what you were seeing as of December 30, or is this guidance as to what you are seeing today?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: The guidance incorporates our most updated thinking. In terms of inventory in the channel, yes, I do believe that retailers – many of our wholesale customers have moved through a lot of inventory recently. I think they are getting cleaner. I wouldn't say that across the board, everybody is exactly where they'd like to be. But they're certainly much better than they were at the end of December.
Sam Poser - Sterne Agee CRT: At then at PLATFORM, there was some commentary on some of your new product, I believe it was some of the open-toed dress, some of the sneakers and a few others, and I think some of the flat sandals that you were already starting to see some reorders now. I just want to – I think it was one of the first questions asked. I mean, the guidance you've given is basically your visibility now, but that's going to probably change a lot by the end of March when Easter comes and depending what the spring looks like. Is that a fair statement?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah, that's a fair statement. And as you know, Sam, relative to – many of our competitors or many of the companies that you guys look at, we work close to season and we chase pretty darn well because of our speed-to-market capability. So, there is clearly potential for things to get better, but this is what we see today.
Sam Poser - Sterne Agee CRT: And then lastly, you talked about Brazil and Italy. Can you give some idea of sort of the percentage that you produced in 2015 out of those markets or shipped out of those markets versus what that percent of your total buys are looking like for 2016? Because I would think you're going to save a lot of money on freight and you can make smaller runs without it costing you a fortune out of those markets as compared to China, if I'm not mistaken.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah, I would say, if you look at what we're ordering right now, and we're just talking about the Steve Madden line because, of course, many of the more moderately price lines are still exclusively out of China. But if we think about just Steve Madden, it's only around 50% out of China; we've got 15% out of Brazil; another 15% out of Mexico; 10% out of Italy; and about 10% other, which would include India and some other places. I hope that added up to 100%.
Sam Poser - Sterne Agee CRT: It was a little more, but...
Edward R. Rosenfeld - Chairman & Chief Executive Officer: But anyway, I don't have off the top of my head what Brazil and Italy were last year, but meaningfully smaller than that.
Sam Poser - Sterne Agee CRT: And when you combine Mexico, which I also gather would be growing, when you add Mexico in those three countries, you're talking about the ability to come a lot faster to market and at significantly less freight cost, I would think, on a year-over-year basis.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: That's right.
Sam Poser - Sterne Agee CRT: Okay, well, thank you. Thank you very much and good luck.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Sam.
Operator: We'll take our next question from Scott Krasik with Buckingham Research Group. Mr. Krasik, your line is open.
Scott D. Krasik - The Buckingham Research Group, Inc.: Yeah. Sorry about that. Thanks for squeezing me at the end here. Just some follow-ups, international, what percentage of sales was it in 2015?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: 11%.
Scott D. Krasik - The Buckingham Research Group, Inc.: 11%. And then, DV, how much in sales roughly?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: It was around $80 million in 2015.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And then Blondo, if I remember correctly, the U.S. portion when you bought it was sub-$10 million; is that...?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yes.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Good, thanks. And then, the DV at Target rollout, both shoes and handbags, is that all 1Q? Is that spaced out over 1Q, 2Q? What's the expectation for fall? And just generally speaking, how meaningful can this be?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Just one clarification on Blondo. It was sub-$10 million when we bought it in the U.S., not anymore.
Scott D. Krasik - The Buckingham Research Group, Inc.: Right.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: In terms of DV, yeah, the initial shipments there were in Q4 of 2015. So you did have that showing up in last year's numbers in December. So, you'll see more of that throughout the year. I'm sorry, what was the – and what was the final part of the question?
Scott D. Krasik - The Buckingham Research Group, Inc.: Well, just what is the plan for fall going forward? And then, how meaningful is this compared to, maybe, Candy's or Peak or some of the other big programs you've had?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Look, it's an important brand for them. It's all door in shoes and bags, and it's doing very well. It's exceeding plan. In terms of what the sales numbers look like, that's particularly for something like this that's one account, we don't disclose that.
Scott D. Krasik - The Buckingham Research Group, Inc.: But you are going forward for fall in both categories?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Yeah. Yeah. We expect this to be a long-term brand in the store.
Scott D. Krasik - The Buckingham Research Group, Inc.: And then, it seems like there are a lot of tailwinds in terms of the gross margin outlook for 2016, but you're only guiding to modest improvement. We would have expected, I guess, a little more recovery. So, what's holding that back?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Well, I just think that it's a challenging overall environment. That's all. And so, I hope that we can get a little bit more than what I articulated earlier, but this is what we're seeing at the moment.
Scott D. Krasik - The Buckingham Research Group, Inc.: So, assumptions around additional markdown support could be an upside, a place for upside, or you're just forced to compete and to get market share, you have to give better term upfront pricing. What's the...
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Well, look, we have not assumed any material improvement over 2015 in terms of markdown support. So, if we can do better than we did last year, that would be upside.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. That makes sense. And then did you say how many stores you're going to open in 2016?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Derek, you want to...
Derek Browe - Director of Finance and Investor Relations: We didn't, Scott. The plan is to do five to seven full-price store openings, but that's going to be mainly in Canada and Mexico. And then on the outlet side, I think Ed commented that that's an area we'll continue to focus openings. We're looking at 10 to 12.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Awesome. Thanks very much, guys.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Scott.
Operator: We'll take our next question from Corinna Freedman with BB&T.
Corinna Lynn Freedman - BB&T Capital Markets: Hi. Good morning, guys. Quick question on the apparel for Dolce Vita. It does appear to be a bit more refined than its previous foray into apparel. I'm wondering if you can talk about the changes in strategy there going forward? And then does this open the door for standalone retail stores that would include apparel? And then my second question is on the core Steve Madden line, are there any other opportunities in dress and athletics to take up pricing? It does seem like you have more styles over $100 this year than you did last year. Thank you.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Sure. Yeah. In terms of the Dolce Vita apparel, as you point out, they – prior to us acquiring the business, they did have an apparel line for a few years. And it actually did pretty well, was not a tiny business. But I think – but they had closed it prior to us acquiring the business and the reason was I think that they felt that while it was doing well, it wasn't 100% aligned with the footwear and wasn't really consistent with the vision for the brand. And so, we've now licensed it out and worked very closely with the licensee to make sure that this apparel line really has that Dolce Vita brand essence. And I think it's much more in line with what we're doing to shoes, and we're really pleased about it. So, we're excited to see how that does when it starts shipping in fall of this year. In terms of AURs, we'll see selectively where we can try to push price. If we have great quality dress shoes, for instance, out of Brazil, there may be an opportunity to get a little bit more on those products. But given an overall environment that's not particularly robust, we also want to be careful about trying to push price too much. We really want to make sure we're delivering great value for the price.
Corinna Lynn Freedman - BB&T Capital Markets: Great. Thank you so much.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thank you.
Operator: We'll take our next question from Steve Marotta with (sic) C.L. King & Associates.
Steven L. Marotta - C.L. King & Associates, Inc.: Good morning, Ed and Derek.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Good morning.
Steven L. Marotta - C.L. King & Associates, Inc.: Considering that seasonal weather patterns play such a large role in retail traffic trends, and there is an inventory overhang currently with a little bit of winter merchandise in the wholesale channel, what's better for Steve Madden in the next four weeks if we were to look for mile markers as it pertains to weather? Is it cold weather in order to clean up? What – is this winter overhang in the wholesale channel, or is it warmer weather in order to spur your full-price selling? What are you rooting for?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: I think we'd still rather have warm weather and sell a lot of the spring goods.
Steven L. Marotta - C.L. King & Associates, Inc.: That's helpful. And second question is, I had to join the call late. Did you comment at all on quarter-to-date trends either at wholesale or company-owned retail?
Edward R. Rosenfeld - Chairman & Chief Executive Officer: We did not.
Steven L. Marotta - C.L. King & Associates, Inc.: Still a few minutes left in the call.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: No. I don't think so.
Steven L. Marotta - C.L. King & Associates, Inc.: No, worries. Thank you much.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: Thanks, Steve.
Operator: With no further questions in queue, I'd like to turn it back to management for any additional or closing remarks.
Edward R. Rosenfeld - Chairman & Chief Executive Officer: All right. Well, thanks, everybody, for joining us on today's call. We look forward to speaking with you on the next call. Have a good day.
Operator: That concludes today's conference. We thank you for your participation.